Nicola Gehrt: Good morning, ladies and gentlemen. A very warm welcome to our 2025 results presentation here in pleasantly mild London. My name is Nicola, and I'm Group Director of Investor Relations, and I'm here with our CEO, Sebastian Ebel; and our CFO, Mathias Kiep. We look forward to present a financial year with record results, and we will give an update on our strategic progress. We will also unveil our new dividend policy and give an update on current trading as well as on our outlook, expectations for the next year. And as always, after the presentation, we will open the floor for your questions. And with that, I have the pleasure to hand over to Sebastian.
Sebastian Ebel: Thank you, Nicola. And it's not only pleasantly mild, it's also sunny outside.
Nicola Gehrt: Definitely.
Sebastian Ebel: So, a very warm welcome from all of us. We are happy to present our results this time again from London. You are familiar with the agenda. I will talk about the operational highlights to give an update on the strategy, and Mathias will go into the details of the numbers and the trading outlook, and I will summarize our presentation at the end. It was an excellent year for us, a record performance with a strong increase in EBIT. The integrated strategy delivered these strong results. The distribution made sure that our assets are full. And we used also the time to accelerate our M&A transformation. We put a lot of effort into it, and I will talk a little bit more in details about that. And now we can monetize the M&A transformation to show you the way to the 3% EBIT margin we want to achieve. We have very clear growth targets for '26, supported by a positive trading momentum. And that convinced us and we were convinced to start with a dividend policy. We know that our shareholders for a long time haven't seen dividends, and it's more than fair and the basis we have led with a good result to start immediately with a dividend and to give you some more information on the dividend policy. If you look into the results, very, very strong Hotels & Resorts business, strong increase. We had not a real increase in bed nights that will slightly change next year because of closure of renovation. We had an outstanding occupancy all over the year, 84%, and we had an increase in the daily rate. Outstanding Cruise result. And not only TUI Cruises, but also Marella. We are extremely happy about the development of Marella. And therefore, we could not only in the fourth quarter, but in total, achieve a significant improvement. We had a significant growth, and we will see more growth this year of the available pax days, 100% occupancy and an increase in the daily rate. A good development also from Musement. And if you remember where Musement, which is a marketplace for experiences, was at a couple of years ago and where it is today, it's a great development. And we put more efforts in selling the right products into the customer base than acquiring new customers, which would cost us in the beginning investment and money. What we do is, we focus on own products, building their own product base and grow with this. So, a very good development. Holiday Experiences, EUR 191 million versus prior year. A different picture on Markets & Airlines, where we had a roughly EUR 100 million decrease in results. As said, we invested heavily into the transformation, IT investment, marketing investment. We had some extraordinary impacts, some provisions we had to make. We had the peak of IT investment. For the first time, we will see reduced IT investments in this year. As said, a lot of investment into transforming the business. This impacted all major markets, and we think we are now over the negative development, and we can see a positive development. And again, it is so important that we have the strong distribution to fill our assets. And by the way, if I look at Marella, it's a U.K. business with two operator and flights. So the picture is two coins and the two sides of the same method. And I will talk about the transformation a little bit later. And what drives the superior Holiday Experiences' performance? We have now a customer base of 35 million. This now for the first time, includes our unique customers in Cruise, in Hotels. And this customer base, we use for all the marketing activities to make sure that our 463 hotels are full. Our Cruise ships have a great occupancy and the Tours & Activities business is improving. And if you look at the numbers, if you -- fourth quarter hotel occupancy, 88%. This is significantly higher than what you see with others. The return on Cruise is with 22% and 17%, very, very high and attractive if you compare it. And the take-up rate, Musement owned products, that means 30% of our market customers buy a Musement product is very high, and it's very important because there, the distribution costs are low or not existing. So, this funnel model drives the great result in holiday experiences, and we try to broaden the funnel to support the growth in Holiday Experiences. On the other side, it's very, very important to have our own products, because with our own products, we achieve great customer satisfaction, which is superior and at the top end of products and a very high retention rate. Customers who come back, you don't need to buy in the market again. And to have a retention rate of 40 years, we calculate on 2 years. If you were to do it on 3 or 4 years, it would be significantly higher. It's important, and they come again to us, because we have curated products they trust in. So, this is the driver for our superior Holiday Experience performance. If I look at our strategy, the market is growing. It's growing stronger outside Europe, but also Europe is a resilient market. There are areas in Europe where growth is significantly higher like Eastern Europe. You know we are in Poland. We went last year into Czech, doing very well. Now we have the soft launch at the moment in Romania. And there is significant growth in Southern Europe. We grow nicely in Spain, now in Portugal, but also have started to enter the Italian market, all on the same platform we had. And the good thing is that the demand is especially there for unique brand-led leisure products. So, strong brands with great product quality lead the market and the profitability. TUI, you have seen that before. We have now the fourth consecutive year with significant profit growth, and we want to deliver this also in this year. And time is running so quickly. We are now in the third month of the year, time is flying by. And this is not only the ambition for this year, but for the foreseeable future. Today, more than 80% of the profit come from Holiday Experiences and only 15% from Markets & Airline. And this gives us two opportunities to grow nicely and solid in the asset-light model with Holiday Experiences and to take the big opportunities on Market & Airlines, because if we compare with best of breed, there is a lot what we can achieve and what we can win in the market. And therefore, we want to deliver not only growth, but profitable growth in Hotels & Resorts and Cruises and in TUI Musement and in Market & Airlines. And this is based on what we call the TUI ecosystem, what we have built for all our customers, our database to get better marketing, to have higher customer retention and to lower significant distribution costs. This is also supported by what we do with AI. We have seen and we do see AI as a disruptive technology, which supports us in producing better products, new products, which we can distribute on global platforms. You may recall that TUI was a company where we had own production, Markets & Airlines, per country. We had five Airlines. We took a lot of effort, a lot of investment to bring this together, and now it's the time to get the benefits from it. This is only possible if we have a performance orientated organization. This has been a big, big task to get the organization aligned with the new org design we have. And last point, sustainability was not something which was on work with TUI. We very much believe it. It's important for the customer, but we also see the commercial benefits, and that's why it's as important on the agenda than it has been before. If I look at the Hotel division, 18 new hotels, the return, excellent, the CSAT, so the customer satisfaction or the NPS are outstandingly good. We have 70 hotels in the pipeline, mainly management. Again, when sometimes we got the question, why is our revenue not growing bigger, because we get the management fee, not the revenue, especially growth in Asia. It has now got a momentum, and we are really proud of what the team there has achieved. But it's not only Asia, it's also Africa and in other areas. We have very distinct, with proven brands. We put effort in building upper luxury brands. We have the global mass market or mainstream brands, and we have strong regional brands. And we are less strong on the price consciousness market. There is something where we can catch up. 70 new hotels in the pipeline and with a big momentum there. And by the way, a lot of these hotels are building new distribution facilities, which also supports the future growth. We have talked about the Oman partnership. This is going according to plan. We have started to not wait to build up the business when the hotels are there, but started to promote the country. By the way, it's in a great country. I could recommend -- I can only recommend to go there. And it's very strategic for us. We have had the proven cluster in the Caribbean. We have it in Cape Verde. We built it in Zanzibar, and now Oman and maybe others to come. If we look at Cruises, 18 ships, great return on investment, very, very strong NPS. So, the product is loved and what we deliver is great. There is one ship, which came into the market last March, where we see now an incremental Summer effect. And there is one ship also from Fincantieri coming in early Summer next year '26, which will support our growth. And also because we never talked about it so much, Hapag-Lloyd is doing very well. They had some impact when there was the rerouting. There is no routing this year, hopefully. And that's why they also have significantly improved. And you know that we have two ships on order, '31, '33. And we are very, very happy that we also have options which we can decide on in the coming months. And it's a great business and with a great prospect, and Mathias will show it later. If we do see that we have overall a 45% capacity increase if I look at 2 years and the load factor is 5% ahead, only give me one conclusion we could have sold for higher prices. But that's a luxury problem. TUI Musement, as I said, the transfer part is not growing and that the growth comes with third party. But there are two areas where we are growing: one, enhancing our multi-day offering. We are just at the start. We talked about new products. We just brought this product into the German market. I got the figures from last week. It's accelerating. The U.K. market will follow soon. We have high expectations about the growth we can achieve there. So, it's the production facility for multi-day Tours offering a huge market also in Southern Europe. And of course, the offering and experiences. Yes, Sun & Beach is dominant, but we are increasing city footprint. For the first time, I could book the Heathrow Express yesterday and I haven't booked theater or restaurants yet, but the offering goes into the city. The focus is on own experiences because that's where the value is in the TUI collection offers, and it's about up and cross-selling. And that's why we think about significant growth also in the midterm. If we look at the market, and it was a -- maybe it was a painful process when you do local production, local organizations, you centralize, you bring together one selling platform, one buying platform. It was a huge investment with things to overcome with time delays. At the end of '26, we will have every country on the same selling platform, and we do see the first markets when look -- when it comes to efficiency, marketing efficiency, a huge increase. You do things once and not five or six times. And that is why we can talk about efficiency and cost optimization. And it's the same with the Airline side. We had five airlines, which was not the good setup. Now we have -- we are only talking about one airline with a commonality in all aspects. Before we had five different hand luggage rules and so on. Now it's one. All the things where you would say you should have done it before, but it was quite a challenging thing to bring everything onto one system. Operationally, it has helped us a lot. I would say, if I look at reliability, I look at it every day, the reliability and therefore, the denied boarding compensation is at historical low in the first weeks of this year. So a lot of benefits. And now it's about the commercialization to make sure that we lead the airline as you would lead a commercial independent airline without giving up the synergies we get from the market. So, that's why you see the two wheels combined for net, but business in it means. And we have the clear target to increase the underlying EBIT margin, and we expect to get a good step forward this year. What are the building blocks, the levers? And these are examples, but the main -- the most important ones. Of course, the Risk Right. A good example was Nordic, which we turned around, has been profitable for the -- since a longer time last year, and we see a good development. This year, we had to define the Risk Right capacity and the growth should more and more come from Dynamic. You know the Ryanair case, which really -- which went live last December, but took momentum in Summer, which is now rolled out to other destination. We have a lot of NDC carriers, which we bring into our ecosystem even before. Now Christmas should have a significant impact on our -- positive impact on our business. Others were ahead of it. Product Differentiation. It's key. We want to increase, and we are in the process of increase from 45% to 60%. We do a big step forward, because we do see this is the reason to buy with TUI and these differentiated products give us higher margin. Customer Lifetime Value Management. It's something where we put a lot of effort in to bring customers into the same database to define the methodology, how we not play with the customer, but how we use the opportunities and we are -- and to optimize distribution costs. Airline Growth and Airline Commercialization. One thing was very clear that we have a network and a -- network which gives us a lot of opportunities to improve. We had a fleet which were due to all the delays, not optimal. Like last year, we had, again, a significant cost on not having the Boeing as we wanted to have. There is now the clear expectation that for this year, we can add the promised amount of aircraft. But again, last year was not what we had anticipated to get. Airline optimization, very important point. Operational Excellence, and this is now where I'm really getting excited. We put a lot of efforts into the system to push direct sales to get free traffic to make the customer buy more often. And for the first time, we not only can tick mark that we have taken the actions into place, but it started to be commercial beneficial. And it's very clear. If you have a 10%, 15% share of app, you see how big the opportunity is looking forward to decrease the distribution profit. What helps us a lot, and I will put some more information -- give some more information later is AI. AI is a game changer when it comes to production, when it comes to product quality, when it comes to how we sell products. And this only works well when we take the opportunities of global platforms also into the cost arena. And therefore, we are now able to deliver and to talk about cost improvements. The cost improvements will hit us for the first time this year '26. Last year, again, we had some extraordinary still like the Boeing effect, but we have had all the investments for the first time, we can reduce IT investment and to harvest what we have done. One thing is clear, we will stay and we need to get even a more IT-led company. And the earlier and the quicker and the more drastic we change, the better it is for us. We have -- the plan is EUR 250 million cost reduction, 60% on overhead cost reduction, so where we -- you can count, I've saved this or that. 40% operational excellence. These are things which we also can, of course, count and measure like the optimization in marketing, online marketing cost, of course, we can count, but there are thesis which we have to prove that we are on a good way there. We have these two buckets, and we want to have this realized in the next 3 years, and we try to even bring it forward to be prepared whatever happened in the market. AI is changing it, a lot, the world, but it's also changing a lot the travel business, moving into Agentic search, improving how we produce the content and to have better content to improve the customer experiences, which is amazing in Nordic. You have customers who want to talk to an AI agent and not to a personal agent anymore because they rely more, trust more the AI answer, hyper-personalization with all the data we have. It's a huge amount, but to get the right conclusion, AI helps a lot, and it further reduces cost. And therefore, TUI is changing into an AI-powered organization. And we want to be in all front doors with all the LMMs. We have made you programs. We now sometimes wait for the LMMs to connect us, because they have to do some more homework than they had thought. But the Mindtrip example is something to see and to show how ready we are, and we will benefit from our strong brands and the unique products. What does it mean? Concrete? We are working with main key partners where there are big communities like in social media, like selling platforms, but all LMMs and Mindtrip is a good example of how this could look like. That's a huge opportunity to move away from being very much dependent on Google and others to more spread to others and to get into new segments. We have not been strong in the Generation Z, which is using this very much, and that gives us huge opportunities. But it's tough and a lot to do. AI for our customers, how the customer search on our app, what he gets as content, what he gets not only when it comes to pictures, videos, translation, trip planning, a lot of enhancements we deliver 2 weeks -- by 2 weeks. I remember times when there was a release once in 3 months and in -- yes, per quarter, then per month. Now we are releasing every week something a new, including voice, chat agents and so on. And customers, our customers love it. It only works if we get the support and the excitement I have, the management team have with our colleagues. So, we spent a lot of effort to bring this new world to our colleagues so that they are all excited and they are, because we have seen the huge demand of, for example, Microsoft Copilot, and we, of course, support that very much. What do we see when distribution is changing? And we do see that there is a split of customers which go more and more brand specific. Therefore, differentiation is so important and the exclusivity is so important. And on the other hand, customers who go through LMMs, and sometimes they come from one side to another. Therefore, to have the TUI AI concierge agent who supports the customer is so important, and it's about a partnership, but it's also about optimizing the search, how we search the optimization of engines who answers. This only works if we have an end-to-end view on customer data -- on our customer data. And it only works, I think that is still underestimated if the data -- not the data, the content the customer sees is trustworthy and can be verified, one of the benefits of the direct contact to suppliers we have. I would recommend that you look at Mindtrip that has been the first showcase and it has been -- not it has been -- it is a successful -- not showcase anymore, a successful case. As I said, sustainability is in our hearts. We have made good progress last year. Of course, it gets always more challenging in the next year, but we are well on track to deliver our 2030 targets. So overall, strategy is very clear, growth on the assets filled outstanding well through our markets and monetizing the investments we have made in Market & Airline. And now to the hard numbers. Mathias?
Mathias Kiep: Thank you, Sebastian. Very good morning from my side. Thank you for joining the call. And how does '25 look in detail? We've already published our numbers mid of November, where we upgraded our guidance and for the full year '25. And so, let me just share a couple of key items for P&L, cash flow and of course, the balance sheet. Then as Sebastian said, we have announced a new dividend policy going forward. I'll come to that in a minute before I come to trading and outlook, short term and midterm, how does this strategy translate into building blocks for our future growth. Highlights '25, very clearly, revenue growth, again, 4% plus. This shows the high commitment of our customers, the high priority of spending for holidays. Underlying EBIT, as we announced in November, increased by 12.6% on constant currency rates and 9% on actual rates. Our net debt, as a result, improved by EUR 0.3 billion down to EUR 1.3 billion, and the leverage came down again towards 0.6x, which is one of the lowest rates the company ever had and the lowest rate that the company had over the last decade. So that's something we want to continue going forward. And while we think we expect the business to grow another 7% to 10% as a result of the strategy, which just been explained, there are clear building blocks to get there. We think it's also now time to start with the dividend policy and already start with paying this for '25 on the back of the strong results. And we think this 10% to 20% going forward thereafter, that's a very good balance of investing into future growth, deleveraging the business going forward and having an attractive capital return for our shareholders. Now in detail, what is the summary for '25 P&L, cash flow and balance sheet. Again, you see here the footprint of our '25 result, strong contribution from Hotels, from Cruises and from Musement. Musement is also very attractive in terms of scaling into all products and also being more efficient in how to deliver the service to our customers. You see Markets & Airlines. It's with the decrease. I mean, this is very important to put into this context of investing into the transformation and making sure we get the benefits going forward, and we are in a competitive situation. We've talked about the Boeing delays. We also talked about the one-offs that we saw EUR 20 million alone from covering maintenance related to the re-fleeting already in '25. So I think that's how we would like to put this into context, strong cost discipline in our central operations and then the result of EUR 1,413 at actual rates and EUR 1,459 at constant currency. Now details to P&L. What is of interest? I think there's two elements. One is EPS, the key number for the dividend policy going forward, improved by 25% year-on-year reported and more than 30% on an underlying basis. This is really a strong result and is absolutely key for us that we translate our operational growth also in growth on a per share basis. Second is, and that's something we will see on the cash side. This has supported really well is the strong improvement on the interest side, well beyond our expectations that we had 12 months ago, a lot of optimization work, and we'll come to that. This is a cornerstone of our new dividend policy, because we see that all the investment into financial discipline, they track to gain traction. And on the back of that, we get really competitive terms, and that's really supportive to our interest result. On the cash side, very solid and robust performance, again, a key pillar for the future dividend policy and for starting to pay this already for 2025. When you look at this, strong improvements in the dividend received, more than EUR 200 million more than in the year before. That's as we discussed, in particular, coming from TUI Cruises, and it's very important for us that the strong performance in Cruises also translates into cash payments to us as a shareholder. Second is the strong improvements on financial costs. So interest result went down, but also pension costs started to decrease. You may remember that we have been able to fund the U.K. pension schemes, and we expect '26 that we don't have further payments into that. These are key pillars to also fund our future investments. Because more investments that we need, one for, to grow our Hotel business further, really strong profits, the second on the delivery of the Boeing portfolio, that's something where we need some funding for and structurally, we worked hard to get this from these two items, plus, and that's the other point you see here investments and lease and asset financing amortization. This is in line within guidance. But we expect that in particular, lease and asset financing, all the investments that we did structurally in '25 will pay out -- pay off in '26. And on that basis, we'll have a strong improvement of that number, which is then the final pillar to look at our increased investment for '26 and going forward. Now on resulting balance sheet, as I said, improvement by EUR 0.3 billion. What is important and what is great for the further structure of the balance sheet is that some improvements we did also in November. We paid back the remaining outstanding amount of the older convertible, that's EUR 120 million repayment that we did out of existing cash resources that will help our gross debt, something which is important for the rating agencies, but also, of course, something which is important for interest result. And interest result, we need to manage because a year ago, we still had a higher interest income level, and that's something that we need to work against. Second point is that because of the Schuldscheindarlehen that we did earlier this year and the agreement that we did with TUI Cruises on the refleeting and the access to the U.K. market, we ended both finance leases that we had for Marella and now both ships are in ownership, which will remove the debt amortization in the future and gives us full operational flexibilities on these two ships. And so, no indebtedness on the fleet of Marella anymore, which is also structurally a very strong improvement compared to some years ago. Now looking forward, financial strategy, it's not only dividend policy, but it's also deleverage target. As I said, this is something which is equally important to us. And from the 0.6x, while this is historically really strong, we still want to reduce this further. And on the midterm, we want to go below 0.5x, because we think the continuously deleverage something that's really helpful for the structure of the business. And as I just explained, this also helps us to fund further investments. Now moving forward in terms of capital allocation, I think there are three steps to look at. One is what have we delivered. And '25 record results, very strong cash flow, good results from this high financial discipline. We can start and we started to really optimize our terms, our balance sheet. And that's something we will continue to work on. This is the right basis to look at the next phase for the company's development. And what is it? It's one, it's investments, because we have seen the strong yield, Sebastian, you mentioned this. And I think one is on the results '25, but also if you look at the strategic pillars, what is there is super attractive. A lot of investors come to us and say, can't you do more. But I think we need to find a balance. So, more investments at the same time, deleverage and capital allocation to shareholders, but there will be more investments into Hotels also in '26. At the same time, we have seen a delay in the Boeing portfolio, which has been operationally really a challenge, one less efficient aircraft, but also renewals when you don't want to do them and all of this. So, this seems to have improved a lot. So, we expect now in '26, around 20 deliveries, which is a significant step up from '25 and all the related investments will also be reflected in our guidance, which is now towards EUR 900 million -- EUR 860 million to EUR 900 million for investments net in 2026. And on the back of that, we have come forward with a dividend policy. We always said we will communicate this in December 2025. What was unclear, and we had a lot of discussions with our Board on this is when to start effectively with this dividend payments. Would it start with '26 for '26? Or would it already start in '26 for '25? And we have decided to bring forward to the AGM in February the proposal of a starter dividend of EUR 0.10 for 2025 on the back of the strong results, the solid cash flow structure and the improvements on the balance sheet that we have achieved. And we think this is a very good balance overall also with this corridor of 10% to 20% going forward of underlying EPS payments of investing into further growth, deleveraging the company going forward, making sure we continue to be in a strong way and dialogue with our rating agencies and financing partners and then have the right capital allocation to our shareholders. We have summarized that on the next chart, but the more important thing is going forward, what is directly ahead of us and what's ahead in the midterm. And let me come to trading and the respective details of guidance now. Sebastian already mentioned it, we have a good trajectory on the Hotel side, on the Cruise side and the Musement. And I think if you look at the trading stats, the KPIs for the next 6 months, effectively, each single KPI is higher than it was a year before. So, the strong track record that we saw in '25, all the investments that we've done, the yield really attractive, and we expect that this trend continues. If you look at the Hotels, for the first time since quite some time, we also see net additions. That's something to look forward on the portfolio. You see a slight reduction in occupancy. This is a bit of the ramp-up, which is super normal. You've mentioned the 88%.
Sebastian Ebel: Jamaica.
Mathias Kiep: Yes. It's also Jamaica, but effectively, this vertical integration, this is what really drives this, and this shows how strong the model works, combination of having a two-operator with the Airline plus the Hotel footprint. Same on Cruises. And another year with 13% increase of capacity, which you don't see in your occupancies even goes up. This is a really strong, strong sector. And then, on Musement, the same. We continuously see the scaling into own products and really good development on the transfer side, both key cornerstones of the profitability of the business. In Markets & Airlines, we see a solid winter. I think the trading pattern remains unchanged. At the same time, the early signs and signals for the Summer are also, I would say, sound and encouraging. At the same time, Summer, we will publish not now, but when we have more tangible data with Q1, which is mid of February. At the same time, again, what is important, because a lot of investors and partners have asked us to change this, we now will report revenues going forward to make us more comparable with other players in the sector. Now how does this translate into our guidance? As we said, we expect the business to grow another 7% to 10% in profitability in 2026. What are the pillars, before we come to the modeling assumptions on the other P&L and cash flow items? It's growth in Hotels, it's growth in Cruises. And if you consider the investments that we've done, the pipeline in Cruise, the pipeline in Hotel side that we just looked at and also the trajectory of both businesses over the last 24 months, 36 months, I think this is a clear cornerstone where we already see the KPIs today that will deliver that growth slight. It's also in context of the really strong and high absolute amounts that you already see here. So that's something where we look really -- we're really pleased with. Musement, we expect that the trajectory that we saw in '24, in '25 continues. And again, the KPIs are supporting another year of additional growth there. In Markets & Airlines, Sebastian explained how we look at this. We have a market where customers continue to prioritize holidays. This is still a #1 investment and something to spend for, for everyone, and I personally can only share this view. And secondly, for us, it's key to deliver this in the most efficient way to our customer possible. So, a lot of focus on costs, a lot of focus on initiatives, and that's why we expect this business segment to deliver strong growth in 2026. In detail to the rest of the P&L, what I would like to highlight is interest. As I said, the benchmark is 2025. We had a higher income environment at the start of the year. That's something where we work against. At the same time, we've done a lot of optimization measures, which should help us so that broadly in line with 2025, we expect 2026 and which is significantly below historic levels. We see investments, I talked about that going towards EUR 860 million to EUR 900 million. And at the same time, offsetting this, we see a strong improvement in lease and asset financing. As I said, at the same time, we expect that we don't have to continue to fund the U.K. pensions, which already stopped in Q4 2025. And as a result, we expect another slight improvement, our net debt aside, and this should all help us to move constantly towards this target of moving net debt leverage towards below 0.5x. And midterm, I think this is important to us, because we've seen a very strong '25, 2x, we increased our guidance. We have seen on the back of that, the ability and opportunity to start paying dividends now. And we have a strong guidance, and we expect profits of 7% to 10% increase in 2026, and we expect further growth to happen. And this is how the strategy that Sebastian explained will also translate into numbers. You see further growth in hotels alone the investments, the increased investments will yield. You have the protection and the -- from a vertical integration and the ability to have strong occupancies in all of these investments. We have a ship pipeline, another ship in TUI Cruises in '26. We'll see the annualization of this in '27. And then again, new ships, '31, '33 and with the expansion in the U.K. market, the opportunities there. Then in Musement, we see this digital growth, which really works in a way and plus all the initiatives to do this in the most efficient way versus our customers. So that's the sector we're really pleased with the development and we expect profits to not only continue to grow '26, but also beyond. And then, there's Markets & Airlines transformation, and we have really said set this profit target of 3% and look forward to the initiatives to contribute towards that. And on that basis, we think we have a package which is '25 delivered capital allocation defined and building blocks for growth beyond '26 and in '26. And with that, Sebastian, back to you.
Sebastian Ebel: Thank you, Mathias. Short summary from my side. In the middle, what we call the Unique Synergy Fly Wheel of TUI, it's not to business Market & Airline and Holiday Experience, it's the same coin with two methods. The one are the distribution, strong distribution sector. The other one is the lighthouse products, the differentiated unique products and both areas support each other. The broad customer base that supports the asset utilization and the differentiation improves the margin and the customer satisfaction. And with both of this, we are confident to give you the outlook, grow further. The EBIT, not only for next year, but to see it for the longer-term future. And as our shareholders had to be very patient, and I think, it's more than fair that we start to pay a dividend for '25 and that we become very -- well, lastly, very reliable on what we want to do for the future. So, you see us as always carefully optimistic.
Nicola Gehrt: Thank you, Sebastian and Mathias. We are now available for Q&A.
Operator: [Operator Instructions] Our first question comes from Jamie Rollo from Morgan Stanley. Jamie, your line is now open.
Jamie Rollo: Three questions, please. All of them on Markets & Airline actually. I appreciate it's only 15% of your profit. But if you could, first of all, just talk a bit about current trading. It looks like that 1% is quite a big slowdown from the 4% September figure if we add up the volume and ASP back then. I appreciate you're no longer giving the breakdown of that 1%, but could you talk about why it slowed? And also whether the ASP increases you're getting, if that's sufficient to cover cost inflation? Secondly, on the guidance for the full year, if my math is right, you need a minimum 30% EBIT growth in Markets & Airline to hit the group profit increase. And it sounds like it's going to be second half weighted given Jamaica and the Easter shift. Just really wondering about the confidence level in that given so little has been sold for the Summer at this stage. And then finally, just on the strategy in Markets & Airline. Thanks for the bridge on Slide 18. That's very helpful. But it looks like you're getting hardly any margin benefit this year from the first three of those factors, the own products, the airline, commercialization or the operational excellence, all the growth is from overhead costs. So, do you think the strategy is working? Because what you outlined at the CMD was more about revenue growth and you're only doing about 11% growth in Dynamic Packages. So, just really wondering about your strategy overall in M&A.
Sebastian Ebel: I'll answer, Mathias, the first questions. Yes, you are right, there is a Jamaica effect, and we very much believe that we can cope with it very well. We would not have needed it, but it is as it is. You're right, there has been only in the markets, not on all the others, there you have seen a strong momentum. And you could, I mean, logically say, Marella is a U.K.-dominated company, and therefore, the revenue is there U.K.-based. What was important for us to make sure that we keep the margin at a good level in Winter. You remember that last Winter, we had a very, very strong second quarter. And therefore, we said volume is less important than the margin because we can cover our risk capacity. There is an interesting development on inflation. I mean, you may recall that it was difficult for us in the last years to cover the inflation in the ASP. What we do see is that the -- like in other sectors of consumer spend, the inflation has normalized. We even see that sometimes, yes, there is still a 2% or 3% increase, but we also see that there is 0 increase, that we can buy some products, beds or especially on the Airline side cheaper than we did before. So therefore, for Winter, it was very much steering towards margin and the inflation and what we get from the customer are very much more in line what we have seen before. For the Summer, we need the cost reduction, and we put a lot of effort into achieving this cost reduction. Nicola gave me the advice not to be too bullish because that would increase too many expectations. But what we do see is very encouraged what we do see. But we also see that there is market pressure. I would not be right to say that. So, it's very much important that the cost reduction can not only offset anything what is in the market, but can get into a positive increase in Market & Airlines. And I'm not sure if the 30% are rightly calculated, but we want to be -- see a significant growth in Market & Airlines as well. And is the strategy working? One thing is, this is -- and you know it, because you're so much in the detail. On the revenue growth, the TUI Cruises revenue growth is not a TUI growth, because we just get the results into it. The joint ventures on the Hotel side: The Atlantica or TUI BLUE Hotels, we get the result, but we don't get the revenue. So, if we would add up the customer revenue increases, it would be a very different picture than the consolidated numbers. Because the U.K. last year has increased the share, the sales into Rio significantly, but this is not a revenue increase only slightly, because it's in the consolidation. It's not 1 plus 1, it's 1 plus 1 is equals 1.2. So therefore, it's something which doesn't really reflect from a customer perspective, the revenue growth. And that would be my answer to the question, Mathias. Was it right?
Mathias Kiep: I think -- As Always.
Operator: Our next question comes from Andrew Lobbenberg from Barclays.
Andrew Lobbenberg: Can you explain what changed with the decision to take the new boats into the TUI Cruises rather than this time last year when you were expressing confidence that you would keep them at Marella. Can you explain what happened to the Marella fleet as it ages and perhaps explain how you expect to serve the U.K. market on the cruising side? And then, a second question would be around the growth in Dynamic. I mean, it's growing 11%. Therefore, the non-Dynamic is shrinking, I guess, about 10%. How did the economics work? How strong are the economics on Dynamic? And what does that tell us about the economics of non-Dynamic? And how should we expect the share of Dynamic to evolve going forward?
Sebastian Ebel: So, with the Cruise part, the synergies we do see on the new builds with TUI Cruises are huge. We always said when we put something into the joint venture, the 50% should add more value to us than keeping the 100%. And you may recall that the new two ships are on the same series like the TUI Cruises: Mein Schiff Flow and Mein Schiff Relax. So a lot of synergies also with the Royal Caribbean on operating these ships. By the way, we have three options, which have a high value. There are no building slots available till '30 something. So we are very happy to also have three options. And the question is absolutely right. What does it mean for Marella? Marella is performing outstandingly well. You've seen all the prices they have received. We believe that there is even room for more tonnage in the U.K. or put it also into North Europe, including the Nordic countries. And this is -- by the way, we have the Board meeting with the Royal Caribbean later today in London. There are opportunities which we will explore. But it was important for us that we have the right vehicle where we get all the synergies. And one thing is also clear, it would have been a significant stretch to our balance sheet and financing, and we wanted to be very much on the safe side. But the rationale is 50% should be more valuable than 100%. Dynamic, non-Dynamic, that's a good question as well. We very much believe in the non-Dynamic -- in the Dynamic, in the risk-free product. And we also believe in the wholesale product. The question is, what is the risk right we have. In the past, we have had sometimes too much risk capacity that we have now have found a good solution. That is a definition that we -- of the risk capacity, which we think we can sell well and the growth should come from Dynamic. It's not an or, it's an end. And it was very clear that the focus is on selling the risk capacity, even if that lowers the Dynamic of the selling of the non-Dynamic. Now we have Risk Right, we do see significant more opportunities to grow there. And of course, we had also to do some technology homework. We haven't had all the carriers, the third-party carriers. We haven't had too many NDC connections. We have now connected British Airways. Others will come even before Christmas. So, we had to do -- to lay the foundation with significant IT divestments on Dynamic. And I would say that the growth should come from -- in TUI from Dynamic, which means that it would equally translate into growth into growth with Dynamic.
Andrew Lobbenberg: Can I just ask, I mean, on the U.K. on -- I mean, the existing Marella fleet is older than the TUI Cruises fleet. How long can it go? Or is there a time when you refurb the old vessels and they can just keep going into the future? Or are there technology or environmental issues that put a defined time line -- time -- lifetime on them?
Sebastian Ebel: We very much believe with all the investment, and we are refurbishing. And we are doing a lot of sustainability investment. But compared to cash flow, it's a very nice picture, so that they can stay in service until the '30, '35. There are now -- and I don't want to elaborate too much because this is just brainstorming what I said. There is also a life for refurbished tonnage, and we do see as the new build slots are very, very limited or you can't get any at the moment for the next 10 years or 7, 8 years, but I would say, 10 years, it could make sense to have also some reasonable investments there. And that's what I said. That's something we have to develop. For the time being, we had assumed that having new ships, which are double the size of Marella, we will see significantly improvements even with our 50% share with our development in Cruise, there might be opportunities which we haven't seen half a year ago, because if we have seen Mathias showing 5% higher occupancy in our load factor or booking in TUI Cruises, I mean, with 45% higher capacity, it clearly shows that we sold too cheap, but it's more than a luxury problem. So, there is something to do with us, but more on the opportunity side than on the risk side. Really like what they have achieved is really amazing.
Operator: [Operator Instructions] Our next question comes from Kate Xiao from Bank of America.
Kate Xiao: I have a few questions on AI. In your presentation, you mentioned that your products are open to all LLMs. I wonder what that means. Are your products kind of bookable directly on the kind of AI agent level? Or is it through your own apps? I think through by your example, it looks like it's kind of more through your own app. Then I wonder if there's scope to kind of integrate further, hence, bookable directly at the AI agent level. And then the other question is, are you seeing increased demand right now already from the AI front? Can you quantify the benefits you have seen so far? And finally, on the cost front, any numbers we can share by implementing AI, say, what would the contribution be in your Markets & Airline business to that 3% EBIT margin target?
Sebastian Ebel: As said, we believe that AI is changing the tourism, how we distribute. And our own brands are very, very important because we want to get as many of our customers direct on our app into our product. And that's why we have increased and changed the split of performance marketing into brand marketing. And apparently, it works well. Maybe we -- most likely, we have been under-invested in brand. So, we -- marketing, so therefore, we shift. If you look at LMMs, it's really exciting. For the first time, TUI is ready and the LLMs are not ready. And why are we ready? You have seen it with Mindtrip. It's working. We do see it where we use it internally and the LMMs are still optimizing what they do. It was interesting what ChatGPT or the owners said what they have to do first before they start with the sales shops. For us, it's important to be directly bookable so that the customer says, I want to go 2 weeks to Mayoka with this and that. And then he gets the TUI offers and then he's in the TUI ecosystem to book it. Technically, it is possible. We are waiting to get connected. And you could argue, but that is then open for many. I mean, there is a first-mover advantage, but our advantage is we have the Robinson Club, others don't have. We have the TUI BLUE, others don't have. We have the service component, which is very, very important, especially in our customer segment with also customers at the -- with different age pattern. So, we very much believe that this exclusive content, differentiated content is a difference. When you talk about where can we use AI to have lower cost, one, to increase the conversion rate in the app. That's something we have started to see. And a good example is for us when it comes to service. I mean, people calling -- asking a question. Today, a big, big share is done by AI. And then you could ask, what does it mean, because we got the question before on the workforce. In these areas, we work with a lot of service companies. And there, we were able to reduce that a lot. The next step will be content production. A lot of things will be automized with better quality, pricing. We still have a lot to do to improve our pricing. Maybe others are superior there. AI is supporting that a lot. So it's both things to get better outcome, better content, better prices and on the other side, to decrease -- to improve processes and to decrease cost for that IT development is a great example. I remember 2 years ago, we had thousands of external people. Today, we have maybe 30 or 50. And we really lowered -- almost vanished the number of external people and we do it with us. And I would say, today, it is -- you have the factor of 5 if you develop something with AI systems in IT, and there's even more to come. This is a way, and it needs education. It needs a very clear target. But the organization is really, really excited about it. And it's for us the opportunity to maybe overtake the one or the other, and that's why we put so much effort into it. And it sounds by far easier than it is. Right, Nicola?
Nicola Gehrt: Right, as always.
Operator: Our next question comes from Karan Puri from JPMorgan.
Karan Puri: I have two questions, if that's okay. The first one is on the balance sheet and cash generation. Just wondering with leverage not too far from your midterm target and with cash generation picking up nicely as well. Wondering if the 10% to 20% dividend payout ratio is more so a floor with potential for an increase if you continue to delever. That's question one. Maybe we can start with that and I'll come back to question two after.
Mathias Kiep: Yes, exactly. But they say cash flow breakeven at some point at the start of the next phase, very clearly. So as I said, one is we need to bring leverage further down, and this is below 0.5x. As of today, 0.6x. At the same time, when we look at leverage, what will be, of course, what we need to consume at the same time is the order book of Boeing, which is peaking '26 and '27. So, this is something where we expect that we can, of course, work on leverage, but at the same time, something that we still need to consume. And this is some -- so I think on the back of that, we've decided to propose a starter dividend and we are -- have defined this 10% to 20% of underlying EPS as a dividend strategy going forward. Again, it's to be defined in each year where we are. But at the same time, I think we really balance with that deleveraging, consuming of investments and good basis for shareholder returns. That's the idea behind it.
Karan Puri: Perfect. The second question is actually on the newly announced EUR 250 million cost savings. Despite this sort of incremental EUR 250 million, you've kept the midterm EBIT guidance unchanged. What is the best way to think about this? Does this imply that the underlying momentum across the other buckets of Dynamic Packaging, Airline Commercialization, et cetera, is tracking a bit behind? Or it's you just being conservative? What -- how should we think about this, please?
Sebastian Ebel: It's important to achieve what we have promised. And -- I mean, we haven't had in mind the Jamaica incident, which was a significant hit. We want to make -- to do as much as possible to fulfill what we promise to the market. If times are great, like last year, we are able to overachieve. There might be times where they are even getting more challenging because the economy is the war and so on. I think reliability is a very high value for us. And I mean, it's better to fulfill with a very high certainty what we promised or what we outlined, what we are achieving then to add up all the opportunities we have.
Operator: Our next question comes from Leo Carrington from Citi.
Leo Carrington: If I could ask two related questions, please. In terms of the travel environment in Europe, how would you frame that right now? You referenced the competitive nature of the environment. Is that pure competitive tension? Or is that in the context of some kind of caution from consumers? And obviously, there was the later profile of bookings over the Summer. And then looking forward, for the ASP growth you've referenced for Winter and Summer, is this mostly like-for-like pricing? Or is there mix or duration effects that are also moving this metric?
Sebastian Ebel: I mean we are lucky that, for example, in the Hotel business, whatever is the impact from Europeans or U.K. customers, it doesn't hit us, because we -- I was on Lanzarote last week, absolutely packed. I've never seen so many French people, so many Spanish people, and I've never seen so many Asian people. So, we benefit from the global distribution we have built up. On Cruise, it's the product. And therefore, it is very much sold out. If I look at the European or if I look at Musement, they have now a lot international customers, which are not Central European ones. But also the European market is not homogeneous. If I look, there's strong growth in Eastern Europe. So you know about our successful Polish business who went -- they went into Czech, doing very well. At the moment, they go into Romania, soft launch, a real launch in February. Spain, which was always a challenge for us. Outgoing Spain, for the first time turned positive, and it's growing significant in Portugal, Latin America. So it's important these markets outside the core markets. Because, if I look at Germany, if I look at the U.K., I would say at least there is no tailwind. And with the political uncertainty, and I know it, of course, better in Germany than in the U.K., there might be even effects. We are -- and looking at Germany, we are maybe less impacted, because we are in the customer segment, which has a higher income and the lower segment, and that's why we had the one or the other insolvency, which the company who were at the lower end, they suffer more. For us, it's important to be as resilient and to have the broadest distribution we have to make sure that the Cruise, the Hotels, the Musement products are having the highest possible occupancy. And if you look into the seasons, we had a good start, but we quite often had a good start. And even if you are now 10% or whatever percentage up, you can lose that in a week, in turn of the year season. So that's why it's so difficult to give a good and solid outlook. But we -- the resiliency we got is making sure that we can fill our assets. And at the end, if it's 10% or minus or 10% on Markets & Airlines, it's very important, and we need the growth, and we are envisaging the growth, but we can -- could lose the game on the Holiday Experience. And as we don't do that and we win there, it's so important that we get from markets -- the customers into our assets. And this works well, and it works even better now than it worked a month ago or a year ago.
Operator: [Operator Instructions] Our next question comes from Richard Clarke from Bernstein.
Richard Clarke: Just starting on Cruise. Are you seeing any benefit in Europe from maybe less capacity some of the other Cruise companies have redirected capacity to the Caribbean? Is that helping yields? Are you thinking about your planning for where you're going to run your Cruises based on that? And maybe in that context, why are you only seeing prices flat, particularly where you've got new ships, why are prices not growing in the Cruise business? Second question, I think this year or next year, I guess, you're saying the bigger contributor to the 7% to 10% will be the Markets & Airlines business. How should we think about -- I know, you've got a useful slide at Slide 42, but just the shape of that 7% to 10%, would you expect beyond '26 that we would see the Hotels and the Cruise business being the majority contributor to that 7% to 10%? And then thirdly, I know you sort of explained the dividend sizing. But in the past, you used to at least be able to return the TUI Cruise dividend back as a dividend. It looks like your dividend is going to be below the TUI Cruise dividend to you. So, just wondering why at least that isn't being able to pass back to TUI shareholders.
Sebastian Ebel: On Cruise. I don't know if we benefit from less capacity. What I know is that the value proposition of TUI Cruises, Hapag-Lloyd and Marella is superior. TUI Cruises new ships, the well-being approach, the all-inclusive approach, amazingly great product. Hapag-Lloyd, the same. Marella, and that for me has been the biggest surprise, and therefore, I'm so really grateful to the management and the team there. If you look at the prices they win at the food concept. It seems to be that they do a lot of things right. And then the right question is, why are prices not better. And that is a question we put to the management there. To be fair, no one and especially not me anticipated that the demand would be stronger than the capacity increase. So there is something more to be done on the prices. On the other hand, and we know it from markets very often, the customers you don't get in the beginning, you have to pay a lot to get them late. And therefore, we are really grateful to the capacity there. Do you want to say a few -- and maybe last before Mathias goes into the detail, I think it's very clear, and that's why we always stress so much the business model, having strong distribution, which fills our assets. Yes, we want to have a significant increase in Market & Airline profitability, but the majority, I would -- I mean, I couldn't assume that this would be the other way around.
Mathias Kiep: Yes. And maybe just on the dividend. To be fair, I think we developed the dividend looking forward. Again, as I said, balancing deleverage targets, investment and consumption of the investments -- and please do not forget that the Aircraft delivered by Boeing directly move on balance sheet if they are leased or asset financed and that the CapEx is primarily related then to the adjacent engines, et cetera, maintenance events that we need to move through CapEx. And then thirdly, to have a decent returns to shareholders and to have a good dividend yield in line with as what we get as comments from investors and business partners. I think in the past, the dividend policy was really on different pillars, and that's why I think it's not really comparable. Just a few words on the guidance growth. I think the 7% to 10%, if you -- I think they have 2 elements indeed. One is what are the building blocks in terms of investments that you can already see today that, in particular in HEX will then deliver a certain earnings growth going forward. And that's one element. The other element is the benefits from Markets & Airlines. And naturally, I mean, there's a kind of overall improvement that we expect. But also if you go to the regions, and Sebastian, you mentioned the success that we had in Nordics. We reduced capacity there to the right capacity. We have an issue in the Belgium, Netherlands model, which is similar. I think that's something you need to put into context. But what is for the guidance, very important, this is more back-ended very naturally. So, this is more towards the Summer where we expect then the profit growth in that area.
Operator: Our next question comes from Andre Juillard from Deutsche Bank.
Andre Juillard: Two questions, if I may. First one about the German market and the reinvestment plan, which has been presented by the government. Could you give us some more color about your feeling on the one consequences of this reinvestment plan and the trend that we could see and potential good news that we could see in the consumer and the travel and leisure sector. Second question about the booking trend. You are relatively cautious on the Winter, partly because of the negative base effect. But what do you see in terms of trends on the last booking? And do you see any significant evolution on upgrades or downgrades in terms of segmentation of the bookings?
Sebastian Ebel: You mean the investments of the -- increased investment of the government?
Andre Juillard: Yes. And the consequence it could have on the consumer side.
Sebastian Ebel: How should I phrase it politically correct? I think, Germany is in a very difficult situation, and we would need significant more rigid changes. And at the moment, we try to have a debt-related investment program, which may work or may not work. At least it will not change the sentiment as long as not main questions are solved. So, I don't see any positive impact to any business in Germany. And coming back to your booking trends question. As I said, it's very difficult to predict. On Winter, we said margin is very important and another 1 or 2 volume with lower margin doesn't help us, because the risk capacity is set right. We had strong Black Friday 2 weeks, which personally surprised me a little bit. But of course, as I said, whatever we have today, it is important, but the main important season is the change of the year -- a season, and then we will know. I think, it's very important to protect margin and where we cannot protect the margin to make sure that the cost element is more than what the market would see. So, the prediction is more difficult than it has been in recent years. And it's important that we are cautious that we are not going into a risk strategy, but in a well-balanced strategy. And is it a late booking pattern? What we do see, I don't see that too many things has changed. There have been change that some of the consumer segments like the families, which is luckily not so much the TUI business with two or three kids, they don't have the money too much anymore to spend in travel. They are more a segmented oriented change or Egypt because there's a great price value for the customer is growing significantly and other countries are losing. So it's important to be resilient, to be dynamic, to change quickly and to live with these changes.
Operator: We currently have no further questions. So I'd like to hand back to Sebastian Ebel for any further remarks.
Sebastian Ebel: Team, and I always say thank you to the whole team is working very hard. Transformation is not easy, and it only works if our people work with us, if we get the right products to the customer. And as we do see that day-by-day, we see progress, we are confident about TUI's future. We have huge opportunities. We have significant risk, which we have to manage. And therefore, I very much believe investment in TUI is a great thing, because we not only work hard, that's a lot of people doing, but we are seeing that we can give great offers to our customers and to support trends we do see in the market. So, thank you for being with us and asking your questions and challenging us. Mathias?
Mathias Kiep: Thank you so much.
Nicola Gehrt: Thank you so much. And the only thing remains, have a good festive season ahead of you.
Sebastian Ebel: And go with TUI. We still have some seats available.
Mathias Kiep: Excellent.
Nicola Gehrt: Thank you.
Sebastian Ebel: Thank you. Bye-bye.
Operator: As we conclude today's call, we'd like to thank everyone for joining. You may now disconnect your lines.